Operator: Welcome to the Methode Electronics Fiscal Year 2020 Second Quarter Conference Call. For this quarterly conference call, the company has prepared a PowerPoint presentation, entitled Fiscal 2020 Second Quarter earnings, which can be found at methode.com in the Investor Relations section. As a reminder, this conference is being recorded. This conference call does contain forward-looking statements, which reflects management's expectations regarding future events and operating performance and speak only as of the date hereof. These forward-looking statements are subject to a safe harbor protection provided under the securities laws. Methode undertakes no duty to update any forward-looking statements to conform the statements to actual results or changes in Methode's expectations on a quarterly basis or otherwise. Forward-looking statements in this conference call involve a number of risks and uncertainties. The factors that cause these actual results to differ materially from our expectations are detailed in Methode's filings with the Securities and Exchange Commission, such as our annual and quarterly reports. Such factors may include, without limitation, the following: dependence on a small number of large customers, including 2 large automotive customers; dependence on the automotive, appliance, commercial vehicle, computer and communications industries; international trade disputes resulting in tariffs and our ability to mitigate tariffs; timing, quality and cost of new program launches; ability to withstand price pressure, including pricing reductions; ability to successfully market and sell Dabir Surfaces products; currency fluctuations; customary risks related to conducting global operations; ability to withstand business interruptions; recognition of goodwill impairment charges; abilities to successfully benefit from acquisitions and divestures; investment in programs prior to the recognition of revenue; dependence on the availability and price of materials; fluctuations in our gross margins; dependence on our supply chain; income tax rate fluctuations; ability to keep pace with rapid technological changes; breach of our information technology systems; ability to avoid design or manufacturing defects; ability to compete effectively; ability to protect our intellectual property; success of Grakon and/or our ability to implement and profit from new applications of the acquired technology; significant adjustments to expense based on the probability of meeting certain performance levels in our long-term incentive plan; and cost and expenses due to regulations regarding conflict minerals. [Operator Instructions]. At this time, it is my pleasure to turn the floor over to Mr. Don Duda, President and CEO. Sir, the floor is yours.
Donald Duda: Thank you, Cynthia, and good morning, everyone. Thank you for joining us today for our fiscal 2020 second quarter financial results conference call. I'm joined today by Ron Tsoumas, our Chief Financial Officer. Both Ron and I have comments, and afterwards, we will take your questions. To start, please turn to Slide 4. Although our second quarter and 6 month fiscal year-to-date results were adversely impacted by the 40-day UAW labor strike at General Motors, incremental sales from Grakon, revenue from new product launches, benefits from our initiatives to improve profitability and our continuous improvement actions to reduce costs, improved Methode's year-over-year results on a GAAP basis.  Methode's revenue increased 8.2%, our net income increased 36%, and our net income per share increased 35.3% for the 6 months ended October 26 of this fiscal year.  Again, please refer to Slide 4 for our adjusted net income and adjusted income per share results, which exclude expenses for initiatives to reduce overall costs and improve operational profitability, acquisition-related costs, including purchase accounting adjustments and long-term incentive plan accrual adjustments in the applicable periods. As you can see on Slide 5, our year-to-date performance, excluding the adverse effect of the UAW labor strike at GM, still saw headwinds, tempering our growth. Weaker auto sales, lower industrial equipment purchases and lower planned sales as well as the impact of weaker foreign currencies affected growth.  However, with the strike behind us, the opportunities that we have going forward and our team's focus on our strategy, operational discipline and managing the business, allows us to reaffirm our pretax income and EPS guidance for the fiscal year, as shown on Slide 6. Please note that we have reduced fiscal year 2020 revenue guidance largely due to the effect of the UAW labor strike. During the second quarter, new business wins and business development efforts in both the Automotive and industrial segments continued to capitalize on important vehicle trends, including electrification, LED lighting and safety. Methode has been awarded a custom complex insert molded product for a European vehicle manufacturer's 48-volt powertrain system, launching mid fiscal year 2023 with an annual average revenue of $10 million. We've also been awarded an injection molded busbar and contact assembly for another European OEM's HEV 48-volt auxiliary battery pack for approximately $3 million per year, again, starting in fiscal year 2023. For the first time, Methode was awarded a digital cluster display and central display touchscreen with haptic feedback by a European premium luxury OEM for their next-generation vehicle. This key strategic win will launch in our fiscal year 2023. It is expected that this HMI solution, while small in initial revenue, will, over time, be carried across the customer's other vehicle platforms, increasing revenue potential. Further, we believe the know-how and technology can be brought to other customers. Grakon and Pacific Insight continue to win several LED interior and exterior lighting programs for applications in automotive, commercial trucks, electric vehicles, buses and railcars, increasing their content per vehicle and per OEM customer, with some of these launches starting in our fiscal 2022.  As noted on Slide 7, some of these wins are a result of cross-selling our technology. Specifically, Grakon is leveraging Pacific Insight's RGB LED light engine technology with commercial truck and electric vehicle OEMs. This technology was originally developed for the automotive market and provides Grakon customers with proven technology as well to further advance their features and customer offerings. I want to extend to the Grakon team my appreciation for their integration efforts and their focus on growing the business with booking awards of over $83 million since being acquired by Methode, which includes replacement and new business. Our magnetoelastic sensor business continues to grow, doubling the revenue on e-bikes this quarter versus last year. Also, our Eddy current sensor technology has been chosen for a European transmission position sensor. Starting in the second quarter of fiscal year 2021, at approximately $2 million in average annual revenue. Moving to Slide 8. Our sensor group continued its development of a tow load sensor system based on Methode's magnetoelastic technology. Methode offers a sensor that provides real time tow load and tow force data to the user and vehicle systems, which also improved drive stability. We are targeting light truck and commercial OEMs to implement the benefits that can be derived from the sensor when driving with trailer. In the second quarter at Dabir, we added 4 new customers and completed 9 hospital evaluations and 5 evaluations in process with several scheduled in the coming months. The Dabir development team is also in a human subject phase of testing of a new surface, with 2 hospitals that are targeting Dabir for use with pediatric patients. Successful testing and implementation will give Dabir another revenue path in the acute space. Turning to Slide 9. And in summary, I am very pleased that Methode worked diligently to minimize the financial impact of the strike and the effect on our workforce. I would like to thank our worldwide team for their efforts and their focus on operational performance despite the many business challenges they faced. And at this point, I'll turn the call over to Ron, who will provide more detail on our financial results.
Ronald Tsoumas: Thank you, Don, and good morning, everybody. Please turn to Slide 10. Second quarter sales declined 2.6% or $6.8 million to $257.2 million in fiscal '20 from $264 million in fiscal '19. Sales in the second quarter were negatively impacted from the UAW labor strike at GM, which reduced net sales by $32 million. Foreign currency exchange continue to be a headwind as the euro and renminbi exchange rates were weaker than the prior year, reducing net sales in the quarter by $3.9 million. This was partially offset by higher sales from Grakon of $32.3 million. Grakon was acquired in 2Q of fiscal '19 and was included for 1.5 months versus the entire quarter this fiscal year. On a GAAP basis, second quarter net income increased $9.2 million to $23.8 million or $0.63 per share from $14.6 million or $0.39 per share for the same period last year. Second quarter GAAP net income benefited from the results of Grakon, lower acquisition-related costs, lower stock award amortization expense and the net benefit we received from initiatives to reduce cost and improve profitability, which included lower expense for those actions in the current fiscal year versus last fiscal year. On a non-GAAP basis, second quarter adjusted net income decreased $7.7 million to $24.2 million or $0.64 per share from $31.9 million or $0.85 per share for the same period last year. Negatively impacting second quarter GAAP and non-GAAP net income were the adverse impact of the UAW labor strike at GM of $9.6 million, higher expenses for net interest, intangible asset amortization, income taxes and net tariffs as well as the impact of foreign currency translation. China tariffs continue to be a headwind, although we're aggressively working to mitigate the impact on our results. In the second quarter, our net tariff expense was $600,000 and year-to-date net tariff expense was $900,000. This includes tariff revenue reimbursements related to fiscal '19, which were agreed to during the first quarter by some of our customers. Therefore, the amount recognized year-to-date does not represent a runway for the remainder of the year. We expect the net impact of tariffs to be higher for the remaining 2 quarters of fiscal '20, but lower than the $4.5 million to $5.5 million range we estimated during our first quarter fiscal '20 earnings call in August. Currently, we believe tariffs for the fiscal year will be in the range of $2.5 million to $3.5 million at the current tariff rate. Moving to margins on Slide 11. Second quarter GAAP gross margins were basically flat, but the non-GAAP adjusted gross margins declined 150 basis points year-over-year in fiscal '20. Current year gross margins were impacted by the UAW labor strike at GM, the negative impact of foreign currency translation and lower Radio Remote Control, busbar and appliance sales. This was partially offset by the benefit of Grakon sales. Non-GAAP adjusted gross margins exclude expenses for initiatives to reduce cost and improve profitability and purchase accounting adjustments in the applicable periods. Second quarter GAAP selling and administrative expenses as a percentage of sales decreased 530 basis points year-over-year, favorably impacted by lower expense for operational improvements, the benefits of those operational improvements, lower acquisition costs and lower stock-based compensation expense. However, non-GAAP selling and administrative expenses as a percentage of sale, which exclude acquisition-related costs, expense for operational improvements and stock-based compensation accrual adjustments in the applicable periods, increased 100 basis points year-over-year in the second quarter of fiscal '20. The increase was mainly attributable to lower sales as a result of the UAW labor strike at GM. Moving to year-to-date margins on Slide 12. Year-to-date GAAP gross margins improved 50 basis points, but the non-GAAP adjusted gross margins declined 30 basis points in the year-over-year in fiscal '20. Gross margins were impacted by the UAW labor strike at GM, the negative impact of foreign currency translations and lower Radio Remote Control busbar and appliance product sales. This was partially offset by the benefit of increased Grakon sales. Non-GAAP adjusted gross margins exclude expenses for initiatives to reduce costs and improve profitability and purchase accounting adjustments in the applicable periods. Year-to-date GAAP selling and administrative expenses as a percentage of sales decreased 350 basis points year-over-year, positively impacted by lower expense for operational improvements, the benefit of those operational improvements, lower acquisition costs for stock-based compensation expense and by selling and administrative expense attributable to Grakon, which is lower as a percentage of sales than Methode as a whole. However, non-GAAP selling and administrative expenses as a percentage of sales, which include acquisition-related costs, expense for operational improvements and stock-based compensation accrual adjustments in the applicable periods, slightly increased on a year-to-date basis. The increase was mainly attributable to lower sales as a result of the UAW strike at GM. Shifting to EBITDA on Slide 13. The company generated $43.6 million in the fiscal '20 second quarter versus $29.2 million in the same period last year. However, adjusting for expenses for initiatives to reduce overall costs and improve operational profitability, acquisition-related costs and stock-based compensation accrual adjustments in the applicable periods, second quarter of fiscal '19 adjusted EBITDA was $50 million compared to $44.1 million in the current period. The decrease is primarily attributable to the adverse effect from the UAW strike at GM, partially offset by higher EBITDA from Grakon. Moving to year-to-date EBITDA on Slide 14, the company generated $93.9 million in fiscal '20 versus $66 million in the same period last year. However, adjusting for expenses for initiatives to reduce overall costs and improve operational profitability, acquisition-related costs and stock-based compensation accrual adjustments in the applicable periods, fiscal '19 adjusted EBITDA was $88.2 million compared to $94.4 million in the current period. The improvement is primarily attributed to higher EBITDA from Grakon, partially offset by the adverse impact from the UAW labor strike at GM. A few other financial items to review. Year-over-year intangible asset amortization expense in fiscal '20 increased $3.9 million or 69.6% to $9.5 million primarily due to amortization expense related to the Grakon acquisition. In fiscal '20, we invested approximately $27 million in CapEx mainly to support programs and launches in North America and Europe and our facility expansion in India. Year-to-date depreciation expense for fiscal '20 was $14.2 million.  Our year-to-date tax rate of 19.3% was impacted by discrete items recorded during the period. Excluding the impact of the discrete items, our year-to-date tax rate would have been approximately 18%, which is higher than the prior year due to the level of mix of earnings among taxing jurisdictions. Our expected rate for the remainder of this fiscal year is expected to be lower than we experienced year-to-date. Therefore, in spite of a higher anticipated effective tax rate, we estimate our tax rate will be in the range of 18% to 21% in fiscal '20. Let's move to Slide 15. Free cash flow for fiscal '20 was $49 million. As shown on Slide 16, we have used some of our free cash flow to pay down debt. We delevered nearly $18 million in debt since the beginning of the fiscal year, and since purchasing Grakon, we have reduced our debt by $83 million. We ended the quarter with $96 million in cash. Our debt-to-EBITDA ratio, which is used for our bank covenants, is approximately 1.5, which lowers our incremental borrowing cost by 25 basis points and 10 basis points on the commitment fee. Please move to Slide 17 to look at the key drivers to our anticipated EBITDA performance for fiscal '20. Looking at the EBITDA based on our $155 million of EBITDA in fiscal '19 and adding incremental EBITDA for a full year of Grakon, which is about $24 million; adding EBITDA from new automotive and laundry program launches of about $17 million; adding back the onetime cost we incurred in fiscal '19 for initiatives to reduce cost and improve profitability of about $11 million; adding back the onetime cost we incurred in fiscal '19 for acquisitions and restructuring of about $29 million; increasing our anticipated international government grant income by $4 million; and subtracting the net impact from the UAW labor strike of GM of $5 million; and subtracting the impact of the lost EBITDA from reduced passenger car production, which we estimate to be about $14 million. In conclusion, I'll finish up my remarks with guidance. Please turn back to Slide 6. As a reminder, the guidance ranges for fiscal '20 are based upon management's expectations regarding a variety of factors and involve a number of risks and uncertainties, which have been detailed in this morning's release, Form 10-Q and our fiscal '19 Form 10-K. As we announced this morning, we reaffirmed fiscal '20 pretax income in the range of $150.3 million to $164.3 million and earnings per share in the range of $3.25 to $3.55, but we believe there are more headwinds than tailwinds in the second half of fiscal '20. However, primarily as a result of the UAW labor strike at GM, we are revising our sales guidance to $1.1 billion to $1.13 billion from the prior sales guidance in the range of $1.13 billion to $1.17 billion. For fiscal '20 we are estimating capital investment to be in the $48 million to $54 million range and depreciation and amortization to be in the $51 million to $54 million range. We expect fiscal '20 free cash flow, as defined as net income plus depreciation and amortization less CapEx, to be between $122 million and $136 million.  Finally, Methode's third quarter performance tends to not be as strong as its fourth quarter largely due to the holiday seasons and other factors. We anticipate the same holding true this fiscal year, with the fourth quarter expected to be stronger than the third quarter. Don, that concludes my comments.
Donald Duda: Ron, thank you very much. Cynthia, we are ready to take questions.
Operator: [Operator Instructions]. Our first question comes from Chris Van Horn of B. Riley FBR.
Christopher Van Horn: Congrats on solid execution in a challenging environment. I just wanted to touch on guidance really quickly. I mean, obviously, the labor strike had an effect here. But when you look at kind of the underlying -- this is specifically for auto, when you look at kind of the underlying production estimates, are you changing anything from either IHS or LMC, whoever you use, in terms of your production expectations?
Donald Duda: No. I mean, we look at both of those. I mean we're more in -- certainly in the United States, we have more truck and SUVs, so we tend to analyze those much closer, and those have remained strong. If you take -- Chris, take the strike out of it. But we are anticipating some recovery from the UAW strike in orders from our customer, not a lot, but that is in our thinking. And then in Europe, we monitor that really on a weekly basis because that still tends to be very spotty.
Christopher Van Horn: Got it. Got it. And as you look at kind of your awards that will be launching over the next, call it, 12 to 18 months, do you see a dramatic shift in your geographic mix as those launches happen?
Donald Duda: No, no. I mean it's -- the U.S. -- number of launches in Europe is smaller, but larger in number, and a few in Asia with Great Wall. But I don't really see a geographic change.
Christopher Van Horn: Okay. Got it. And margins are holding up really well, and I think, correct me if I'm wrong, Grakon is a big part of that. And you're certainly making a lot of initiatives on the cost side through operational efficiency and spending there. Where are we in that cost cutting or that -- those initiatives to reduce costs? Is a bulk of it done? I know there's always stuff to be had, but it seems like you've really ramped it up over the past 12 months. And I'm just curious if you see more low-hanging fruit as we look out next year and what that looks like.
Donald Duda: First of all, I would say that we're ahead of where we thought we would be on the Grakon factory improvements. And kudos to the team in Asia, the Methode and the Grakon team. That certainly helped us, in the quarter. It will help us for the balance of the year. But I would say we're probably about halfway. It gets harder, initially, you're picking up dollars bills and eventually, you get down to pennies. But we anticipate that we've got another year of, I think, solid improvement there. And in the course of Methode, that's what we do for living. And I know that's continuous improvement. But Grakon, we knew going into it that there were certain improvements we could make.
Christopher Van Horn: Okay. That makes sense. Last for me. Congratulations on your digital cluster win. Not sure how much detail you can get into. I imagine you displaced the incumbent. And I'm just curious about any more detail. It seems like a new product line for you. There are many other players in the space that we can think of that are in the digital cluster arena. So any detail about what the award was or how it came it out? And maybe your competitive advantage in that win?
Donald Duda: I have to be very careful here because I can't really say too much about the product and certainly, not the customer. I can say that it's a customer that knows us well. And that we developed the technology probably 2, 3 years ago, and we're deploying it for the first time. Much sense, we deployed center consoles on premium vehicles years ago before we landed some of the larger piece of the business. But I really -- Chris, I'd like to say more, we're excited about it, but I can't.
Christopher Van Horn: Okay. Well, hopefully, maybe in the coming months or quarters, we can get some more detail around it.
Donald Duda: Yes, absolutely.
Operator: Our next question comes from Steve Dyer of Craig-Hallum.
Ryan Sigdahl: Congrats on the quarter. This is Ryan on for Steve. Just digging in the guidance, I guess, a little more. So you reduced revenue guidance by $35 million at the midpoint, primarily for GM, but you maintained the profitability expectations. Where are those cost cuts or efficiencies coming from, I guess, that you weren't expecting a couple of months ago when you last guided?
Donald Duda: Well, as I was talking with Chris a little bit ago, certainly from our Grakon cost improvement. That is ahead of schedule and that definitely helped. And Grakon sales were up. And we modeled Grakon sales both looking at what our customers are telling us, plus what we're seeing from AC...
Ronald Tsoumas: ACT.
Donald Duda: ACT. Always forget that. And we were modeling a slight decline, and in fact it was better than we expected. We're still anticipating and modeled into our guidance a decline, but that didn't happen as fast as we thought. And again, kudos to the team, they have done an excellent job on tariffs. When we entered the year thinking around $8 million.
Ronald Tsoumas: $8.5 million. Yes.
Donald Duda: And we're considerably below that. So all of that contributed to it.
Ryan Sigdahl: Great. Then just switching over to Dabir. So in early October, you announced a master product agreement with Trinity Health, but then subsequently there was a notice to disregard. I guess just any way to clarify, I guess, what was going on with those press releases? And then as well as just if you could talk about the opportunity with that health system and then what that could potentially mean for any other hospitals, too?
Donald Duda: Okay. Very simply, we shouldn't have used their name. And they're obviously going to be a good customer, and we wanted to quickly correct that, which we did. But that is really our first system win. Most of our wins have been, if I recall, all of them have been discrete hospitals, maybe they're part of the system, but they have been one-off wins. That the exciting part of that is that a system win and Dabir will be deployed throughout their hospitals. And that we found very exciting and is why we also wanted to announce out to the Street. And I think that's probably all -- I can't say that. I can't tell you the revenue amount, but it very quickly would become Dabir's largest customer.
Ryan Sigdahl: And then maybe as one follow-up question. You said it will be deployed throughout the hospitals. Will that be a hospital-by-hospital decision? Or is this basically like a hunting license essentially? Or is this -- will it be automatically essentially deployed across all their hospitals?
Donald Duda: Probably a little bit of a mixed bag. We will have to go and train each hospital, but the system is adopting Dabir. So I mean I don't want to say that a hospital has to use it, but it is in their system. And we will -- it's a little bit more than a hunting license, I suppose. We have to go and train the staff and then it will be used routinely.
Ryan Sigdahl: Great. One more for me and then I'll turn it over. So it looks like the auto and laundry launches is a couple of million worse than what you were expecting last quarter. Has there been another delay in that big product to launch there? Or what's going on?
Donald Duda: I would say that our auto launches are on time and on track. Laundry is still behind. And if I look at going forward, what risk is there, I mean, I suppose there can be further decline in the European auto market, but we really look at the laundry program as the biggest risk to that category.
Ronald Tsoumas: And these launches are more back-end loaded to the third and fourth quarter as well as they ramp up more towards the launch. So...
Operator: Our next question comes from David Leiker of Baird.
David Leiker: I wanted to follow-up on a question a bit earlier on the digital cluster. I don't know if I missed it or if you didn't say it, did you put a dollar number on that?
Donald Duda: No, we didn't. But I can tell you, it's in the $1 million range. And then we expect it to be carried over to the other platforms.
David Leiker: Okay. Great. On the GM strike. I guess, first of all, are you -- where are you in terms of ramping up to full production on that post-strike?
Donald Duda: Let me answer this way, we are shipping everything the customer asked us to ship on time.
David Leiker: Okay. And then can you talk a little bit about the actions you took to mitigate the impact of the strike? What -- kind of mix of what was tactical for the moment versus structural changes that are going to stay around for a while?
Donald Duda: There were a number of tactical things which we took with our labor force in Mexico. We were very quick to -- we were taking action within 12 hours of the strike. Ron?
Ronald Tsoumas: Well, some other things in terms of longer-term structural. We did reduce some of the workforce, and we incurred some costs in doing that, that will be rightsized going forward. And as Don mentioned, got creative with the workforce to mitigate as much as possible, and which included building some products, so that will avoid any overtime -- future overtime in the event of a ramp-up and things of that nature. So we took all those things into account and mitigated a very delicate situation pretty well, all things considered.
David Leiker: Did you continue any production at all? I know you weren't shipping, but...
Ronald Tsoumas: Yes.
Donald Duda: Yes, we did. Yes. I mean we -- it was a fine line. You certainly don't want to lay off your workforce, since you're the only one being affected by it in that business park, and you're going to drive everybody to your next door neighbor. So we did a blend of vacation, running production. We have a very clean plant, a lot of things got painted. And to say this, we would have had to take -- going into another week of the strike, we -- our plan would have called out for us to take much more dramatic action, and thank goodness, we didn't have to.
Ronald Tsoumas: A key thing -- the takeaway is, how keen the competition is for good employees in that area. So that was part of our long-range thinking, too, was to make sure that we keep our well-trained employee base for the future. So all of those things were tangential considerations to how we managed it.
Donald Duda: And David, we did have the advantage that since the major product that we produce there goes on trucks and SUVs, building some additional inventory didn't cause us as much of a concern, and that we know we will ship the product. If it was mainly passenger car you're not quite sure what platform. This, we can project out and do some, I would call them, strategic build. But again, we couldn't have gone much further.
David Leiker: Okay. And then on Slide 17, you call out replenishment. I'm assuming that's revenue that -- from volume that GM makes that they lost during this strike. Is that the way to read that?
Ronald Tsoumas: Yes. It's basically -- David, it's about 20% of the revenue that we lost in the strike. So we'll get some of that. We anticipate getting a modest amount of that back. And the EBITDA throw from that, we're estimating to be about $2 million. So we're -- it's not a very aggressive replenishment model, but we are expecting maybe a little bit of recapture of the lost sales for that extended strength.
David Leiker: Great. And then on the contribution of the revenue from Grakon. How much of that could you call as still kind of the revenue from the acquisition just that wasn't in last year's numbers versus growth you've had in Grakon since the purchase? Is there a way to characterize that?
Ronald Tsoumas: That would be...
Donald Duda: We'd have to compare.
Ronald Tsoumas: Would very tough. Yes, right. In terms of -- that would be pretty tough, David, right now for us to do.
Donald Duda: I think we can answer it, I don't -- but we'd have to do a little research.
Ronald Tsoumas: Yes, it's right now.
Donald Duda: I can tell you it's higher than we anticipated and acquisition.
Ronald Tsoumas: Yes, no, for sure.
David Leiker: Yes, Yes. Well, and you've done a great job there with the revenue performance versus the profit performance there, certainly driving that profitability higher. We're starting to see the commercial vehicle off-highway markets roll over a little bit. It seems like you're somewhat insulated from that. Or is that just being masked by the growth in other areas?
Donald Duda: No, it's in our plan. I don't know, we're definitely not masked by it. In round numbers, we're about 80% Class 8. Those have, let's say, flattened and not as down as maybe the lower classes. But we have modeled in pretty much in keeping with ACT. And again, we are correlating that with customer releases and our knowledge of the customers' needs and their inventory.
David Leiker: Okay. Great. And then a couple of last items here. If we look at the appliance launches, it sounds like that's started, but it's just been slow so far. Is that the right way to characterize that?
Donald Duda: We are shipping, but at a very small rate at this point.
Ronald Tsoumas: And that would -- David, that's certainly a risk to our -- the delayed or -- and/or reduce volumes, as we've noted, a -- is a risk to the -- to our targets and EBITDA...
Donald Duda: And that's probably -- we know they're going to launch or they're going to continue with the other product, which run as well. But I think that'll be slower in the third quarter and ramp up in the fourth quarter. Exactly how much, at this point, we can't say. We can't say because we really don't know.
David Leiker: So you don't have a lot of visibility from them in terms of what that ramp is going to look like at all still even though it started?
Donald Duda: That's correct. That's correct. It's -- clients tends to be a little bit like auto, but not -- so they don't follow the auto launch rules.
David Leiker: And then on working capital. Pretty significant contribution year-over-year in the quarter. Anything in particular behind that?
Ronald Tsoumas: No. I think Grakon is a great cash-generating business and has really high margins, great cash-generating business. So having all that with us now has certainly made a big difference in a lot of our -- and that's exacerbated, I think, by what Don had mentioned earlier about all of the operational excellence. All that has turned to cash. So we're doing a great job in terms of acclimating that business into our -- and realizing the cash flows from that perspective.
David Leiker: Okay. Great. I got to -- I don't usually congratulate people publicly on the phone, but you did a fantastic job of -- on the cost side in the quarter, so well done.
Donald Duda: Thank you very much, David. That's very much appreciated.
Operator: And there appear to be no further questions at this time. Mr. Duda, I will turn the conference back over to you, sir.
Donald Duda: Cynthia, thank you very much. And we'll thank everybody for listening, and wish you a very safe holiday and a good new year.
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time, and have a great day.